José Pedro: Good morning, everyone. Thank you for joining the call today. I'd like to start by highlighting 3 fundamental messages that will guide our presentation today. Firstly, NOS continues to be a pool of profitable growth, cash generation and strong returns. Our strategic choices and investments either in 5G and FTTH are key drivers for our commercial, operational and financial resilience. And finally, we continue to focus our capital allocation on ensuring competitive advantage, balance sheet quality and solid shareholder returns. And within that, let's jump into some of the figures for the full year. In terms of the results on Page 4, I think these numbers reflect a bit the messages I've just conveyed, and I'd like to highlight some of them. Firstly, in terms of consolidated revenue growth, we had 5% for the full year '23 and 4.2% for the fourth quarter, driven primarily by the strength of our telco operation. In terms of consolidated EBITDA after leases growth, we had 10.1% for the fiscal year -- for the full year '23 of around €603 million and 12.3% for the fourth quarter of around €135 million. In terms of EBITDA after leases minus CapEx, we increased it to €216 million in the full year, an increase of roughly €164 million year-on-year and with an underlying free cash flow growth of roughly €120 million to €148.5 million. In terms of dividends per share, our proposal of €0.35 represents a roughly 99% payout of net income and a 10.6% dividend yield. In a way, these figures reflect the strength of our business, and I'd like now to break down a little bit of these results. So moving on to the next page, please. When we look at our revenues, I would highlight that in terms of consolidated revenue growth, we had 5% year-on-year, and this was driven primarily by the strength of our B2C telco revenues and our continued year-on-year recovery in terms of our audiovisuals and cinema operations. For Q4, consolidated revenues were 4.2% higher year-on-year, which combined with a 5.5% increase in telco revenues helped offset a decline in our audiovisuals and cinema due to the less popular slate of movies exhibited in the quarter. Looking into telco revenues. Total revenues were 4.3% higher in '23 and 5.5% higher in Q4 '23. Into B2C segment, in particular, revenues grew by 6.2% with RGU growth and value mix leading the performance with average revenue per family increasing by 5% to €50.3 in the full year. In B2B, underlying revenues grew more than 5%, reflecting a strong momentum in the SoHo segment and in large corporates. Despite this, total B2B revenues were marginally lower in the full year '23, essentially due to the reduction of low-margin project-based contracts, which have almost equivalent positive impacts on OpEx. The main impact of this was felt in the first half of the year with Q4 revenues already posting a significant 11.9% year-on-year increase. The wholesale and other aggregate was relatively flat in the full year of '23 at €100 million. However, quarterly performance reflected the typical volatility of low-margin mass calling service revenues, posting a decline of 9.7% in Q4 '23. Finally, in our audiovisuals and cinema business with movies going almost back to prepandemic levels, our cinema exhibition and movie distribution business saw an increase in revenues of 11% in the full year of 23%. The strength of the first 9 months of the year was reversed in Q4 with a lower number of blockbusters driving a decline in our Cinema and Audiovisuals revenues of 17.9% for the quarter. Now looking into our operating profitability. It is grounded on the quality of the revenue mix and structural efficiencies and business transformation we have been pursuing in the past few years. Not only we benefited from the revenue growth, but also from the ability to contain our OpEx after leases growth at 2.2% year-on-year with cost optimization and business transformation initiatives being materialized. Our consolidated EBITDA after leases grew 10.1% year-on-year to €603 million, as I mentioned before. Within that, telco contributed with 10.6% growth and audiovisuals and cinema with 3.6% growth. In Q4, in particular, EBITDA after leases growth was even stronger at 12.3% year-on-year, led by a particularly good performance in telco operations have increased 17.3%, which helped to offset the weaker quarter for Audiovisual and Cinema. In terms of margins, EBITDA after leases margin expanded to 37.8% for the full year, a growth of 1.8 percentage points. Telco margin grew 2.1 percentage points to 37% year-on-year and Audiovisuals and Cinema margin for the full year was 36.5%. In terms of our major direct cost items in '23, the main areas of year-on-year decline were cost of goods sold on one hand due primarily to the lower level of project-based contracts mentioned in the B2B revenue segment and savings of the variable components of sports channels programming costs. In total, direct costs reduced by 0.8% in '23. However, the year-on-year saving was offset by an increase in commercial, structure and operating costs. The main drivers of which being higher wages, and increased network costs related to our continued network deployment. As previously guided, peak CapEx is behind us and our total CapEx decreased by €108 million to -- or 21.8%. The amount of expansionary telco CapEx fell by 52.6%, essentially due to the end of our accelerated 5G deployment cycle, which has reached a population coverage of 94%. This was the primary contributor to the decline of telco CapEx, which finished the year at roughly €368 million. Within the more normalized level of CapEx, NOS will continue to extend its FTTH coverage within the context of its sharing and wholesale agreements and will continue to maintain a robust level of investment for ongoing upgrades and existing platforms and systems. As a proportion of telco revenues, in '23, technical CapEx amounted to 14.7%, down from 22.1% in '22. As a summary, our -- as a result of our EBITDA AL performance and significant decrease in CapEx, we have seen a very robust increase of our operational cash flow to €216 million, which represents roughly 4.2x last year's results. So again, reinforcing our company has a bastion of profitable growth and sustainable returns. So with that, maybe let's do a bit of a deep dive on our strategic choices that are driving this operational success. Firstly, in terms of our strategic decision to accelerate 5G deployment, reaching now, as I mentioned before, over 94% of the population in just 2 years, it is bearing fruits as reflected in the strength of our operational momentum. More than 70% of our subscribers are taking higher-value integrated offers within the context of our convergent strategy. And we are particularly proud of having been awarded the independent recognition as the fastest mobile network in Europe in the most recent Ookla speed tests with a speed score of 183.36 megabits per second, well ahead of other operators. Regarding FttH deployments, in '23, NOS FttH footprint increased by 675,000 households, reaching roughly 75% of its total 5.4 million household gigabit fixed network coverage. In addition to that, being consistent with an economically rational and more sustained approach to network deployment. In January '24, NOS announced an extension of its FttH sharing agreement by an additional 1.1 million households. Finally, in terms of operational metrics, our operational success is reflected in all business lines with growth in total RGUs to roughly €11 million. The main driver of growth has been mobile with 183,000 net adds in '23. In fixed services, we grew our customer base by an additional 25,000 fixed pay TV and 28,000 broadband customers. Particularly, relevant given the already very high levels of penetration of these services in Portugal and over 95% of household penetration in both cases. The value proposition of our integrated and convergent solutions is highly valued by the market with households on average subscribing to 5 services, combining broadband connectivity, mobile communications and our award-winning linear and OTT platform, NOS TV. On average, the revenue generated by our residential customers in Q4 '23 amounted to roughly €51. Looking at B2B, NOS is making significant progress in its innovative cloud and IT-based solutions that are helping drive revenue growth. Not only that, but NOS positioning as a partner for the business transformation is reinforced by the strength of the asset base that I just mentioned and the local innovation ecosystem in which we are present. So with all of this, maybe moving into the Media and Entertainment business. And just doing  a bit of a deep dive on what I mentioned before, our cinema theaters enjoyed a significant boost in movies going through the year. Box office sales returned to close to pre-pandemic levels of 2019, driven by blockbuster hits such as the Barbenheime phenomena. Despite a softer Q4, for the full year, NOS registered roughly 29% increase in tickets sold in comparison to '22. And in terms of revenues, we grew 31% year-on-year to €66 million for the full year. All of this combined takes us now to a very robust financial performance. In terms of net results, NOS had a growth of 30.7% to €181 million, excluding the impact of the '22 tower transaction. In terms of highlights, I would point out, the year-on-year improvement in net results is primarily driven by a strong EBITDA performance. The main additional impact below EBITDA include the effect of a higher interest rate environment on net financial expenses, which amount to an impact of roughly €34 million. And in addition to that, NOS has also recognized noncurrent income of €38.5 million from a favorable court ruling regarding a claim for the settlement of activity fees with the regulator, of which, €15.6 million has already been received in '23. Net results were also impacted by a negative contribution of €17 million from our share of associated companies and JV, due primarily to the negative exchange rate fluctuations impacting the results of our 30% financial holding in ZAP in Angola. When looking at the underlying free cash flow, excluding again the cash in of the tower transaction from the previous year, given the significant growth in EBITDA after leases and the main peak in 5G deployment behind us, underlying cash flow generation increased to €148 million from €29.2 million in '22. Having said this, cash flow performance in '23 was negatively impacted by 2 main effects: number one, increase in interest charges at €23.9 million due to the higher interest rate environment throughout the year and an increase in taxes paid at €29.1 million, due primarily to capital gains recorded from the previous year for the Tower sale transaction and payments on accounts in '23 due to the higher results of the previous year. In addition to that, and as explained before, in Q4 '23, we already received €15.6 million from the favorable court ruling regarding the claim for settlement of the regulators' activity. In terms of our balance sheet strength, I'd like to highlight that at the end of '23, our net financial debt to EBITDA after leases ratio stood at 1.81x, well below our strategic funding target at 2x. Net financial debt amounted to €1.089 billion, with the total debt, including leasing contracts according to IFRS 16 at €1.786 billion. We have available and issued commercial paper facilities of roughly €300 million and cash and equivalents of approximately €18 million. These elements combined provide us a comfortable total liquidity position of roughly €317 million. Due to the high interest rate environment, average interest cost increased to 3.5% -- 48% in full year '23 versus roughly 135% in '22, and this reached a peak in Q4 of 4.2% versus -- and 1.8% in Q4 '22. As of December '23, 26% of NOS debt was issued at fixed rates and an additional 34% was covered by interest rate collars. Total average maturity of the debt at the end of the year was 2.7 years and with the €300 million issued at the end of the year, financing needs for '24 are covered. Today, almost 90% of our debt is linked to ESG performance targets, reiterating our commitment to achieve global sustainability performance. Finally, and to wrap up the presentation, in terms of shareholder remuneration, our Board of Directors approved an ordinary dividend per share of €0.35 which represents roughly 10.6% dividend yield. This dividend represents an increase of 26% year-on-year and a payout ratio of 99% of net results. It is, again, a confirmation of our strategic guidance to deliver a consistent and attractive shareholder remuneration. With this, we conclude our presentation, and we'll be ready to take any questions. Thank you.
Operator: [Operator Instructions] We will now take our first question. First question is from the line of Mollie Witcombe from Citi.
Mollie Witcombe: I have 2, please. One, just on salaries. I know that was an earnings cost this year. Just wondering if you could give us a little bit more visibility on what the salary increases are going to look like for 2024? And my second question, please, just on the news around Altice and Saudi telecom at the second. Just wondering if you had any thoughts around that/any thoughts on the DG delay. I know they said they were going to launch in Q2, but now looking at 2024, so a little bit on the M&A front there?
Miguel Almeida: Thank you very much for your questions, Miguel Almeida here. In terms of salaries, we are expecting in 2024, an inflation around 3% to 3.5%, something around those numbers. And regarding the second question, which relates to our competition, we don't have any nonpublic information. So actually, you don't have no information about what could be happening on -- either on DG's plans or Altice plans. So to be completely honest, I don't think we have anything intelligent to say about those 2 issues.
Operator: Next question is from the line of Nuno Vaz from Societe Generale.
Nuno Vaz: Two from my side as well. First one on the dividend increase. I understand one of the main metrics if you look at as the net income. In 2022, you had the capital gain from the sale of towers to Cellnex. Would you consider that as an exceptional part of the dividend. This year, you did also have almost €40 million of exceptional coming from this court judgment. Why not consider that as an exception as well, especially since your underlying free cash flow is not yet covering the dividend? Are you confident free cash flow and EPS next year can grow enough to cover the dividend? Or is just not worried about coverage as long as your net debt to EBITDA is below 2x? And then second question on the operational side. As you mentioned, you have positive net adds on fixed. But when I look at the multi-play market shares disclosed by the regulator, I find it a bit puzzling that Altice continues to grow market share on multi-play despite having above 40% market share. Well, on your side, you're sort of trending down in terms of market share. I just wanted to hear your thoughts on how can this be the case when you offer exclusive pay TV content. You have arguably the best 5G network in the country, relatively cheaper pricing. Just wanted to hear your thoughts on this competitive point and what can be done to combat it?
Miguel Almeida: In terms of -- starting with the dividend. There are -- you mentioned an extraordinary effect that impacts net income in '23. There are other extraordinary effects that have also an impact in the other direction. So we look at these results and the dividend that is paid or is going to be paid based on that result as something that is sustainable and something that we plan to grow at least for the short term. So it's not that we see those one-off effects as something that will affect the net income going forward and thus affecting our ability or the dividend going forward. There are a number of, as I mentioned, one-off effects, not some negative, some positive. But all in all, if the reason behind this decision to pay this dividend is basically, we are comfortable with this level of dividend as an ordinary dividend going forward. In terms of the market shares, I will start by highlighting a different metric of market share, which is revenues and retail revenues, which also is published and reported by ANACOM. If you look at that in terms of revenues, we are actually gaining market share, growing market share and gaining market share to the competitor you mentioned. And at the end of the day, I think that's the key metric because the way we compute the other metrics, we have different priority, we have -- different operators have different criteria. And just -- I will add another aspect that I think helps answering your doubt, which is there are a lot of rural areas where Altice is present, and we are not, and they keep expanding on those rural areas where we don't have access. So it's not that surprising that they keep gaining market share in terms of subscribers. But again, I would highlight that in terms of revenues, that's not the case.
Operator: Next question is from the line of António Seladas from AS Independent Research.
António Seladas: On the business services, the performance has been a good performance. Nevertheless, has been volatile. So I don't know if you can provide some color what should we expect for 2024 in terms of the underlying trends? And regarding costs, also for 2024, you mentioned wages increasing by 3.5%. I don't know if you can provide more color in the other items, namely because COGS, I think that will -- you don't have the benefit that you have in the last year? So that are my questions.
Miguel Almeida: Well, I'm not sure that I fully understood the first question. But if I understood it correctly, it's a question around the volatility of B2B revenues? And those are...
António Seladas: Yes, exactly.
Miguel Almeida: Yes. So those are fully explained by some projects, some one-off resale projects that generate very low margins, but can make the top line fluctuate a lot. So in terms of profitability, that fluctuation is not critical. What is critical is the service revenues, and on that, you can see a trend, a positive trend, actually quite positive in 2023 -- revenues -- recurring revenue, service revenues are growing. And our expectation for 2024 is that they keep growing, not necessarily at the same pace, but for sure, keep growing in 2024. In terms of costs, I was answering the question around salaries and not around the overall cost structure. Our expectation is that cost will not increase in 2024 as we become more efficient mainly because our digital transformation program continues to deliver, and we believe that will be enough to offset some upward tensions like the salaries. But all in all, our expectation is that 2024, we will deliver margins that are, if anything, better than 2023.
Operator: Your next question is from the line of Fernando Cordero Barreira from Banco Santander.
Fernando Cordero: My 2 questions. And the first question is related on sorry, with your China evolution. I have to understand have you seen any kind of changes on your commercial impact in terms of churn, if we should be paying attention to when you change on the front? And the second question is, sorry related or as well as a follow-up on the OpEx side and margins. but just focusing on lease costs. And in that sense, given the performance of leases during the year 2023, where you have seen particular [revenue] of the year and higher growth in EBITDA rather than in EBITDA just to understand if the expected leases cost performance for 2024 is going to be in the same direction that is providing or supporting better trend in EBITDA AL than in EBITDA?
Miguel Almeida: In terms -- if I understood correctly, the first question was around churn and what we expect the trends in churn? We are actually running at historically lower levels of churn. We don't see on the short-term reasons for that to change. We all know that in medium term, there could be reasons for that to change. But I will not go over and over again around the same issue that you keep pushing. So for the time being and looking at the next few months, we are very comfortable that we will continue to run at very low churn levels, historically low, and then of course, we'll see what the market dynamics is going to turn into.
José Pedro: Fernando, Jose here. Regarding the leasing cost -- leases cost. As you know, there are some small portions of portfolios of towers that we still expect to alienate. And in that sense, we would expect a slight increase in the leases costs throughout the upcoming years, reflecting those sales.
Fernando Cordero: Okay. But excluding these, let's say, nonrecurrent or thinking on the underlying performance of leases. Should we expect that EBITDA AL margin should perform better than EBITDA margin?
Miguel Almeida: I'm not sure I got your question, but I would say that we don't expect any impact on the EBITDA margin regarding changes in leases costs with...
Fernando Cordero: Yes, what I was saying, I'm sorry for my misunderstanding or my miscomment is the fact that the margin expansion in EBITDA AL is being a little bit higher than in EBITDA. And just I'm trying to understand if in the underlying basis, excluding this alienation of towers [indiscernible] secure if this underlying trend is going to continue with leases growing less than the EBITDA?
José Pedro: No, I would say that the underlying trend should be to maintain the same relative difference.
Operator: This is from the line of Roshan Ranjit from Deutsche Bank.
Roshan Ranjit: I've got 2 questions, please. Firstly, I think I read earlier this year that you following the trials, you guys are no longer charging a premium for 5G services. I just want to try to understand given you are a champion in your superior network quality, both fixed and mobile. So again, I appreciate the change in the landscape that could be coming into this year. But what's the rationale there just on the 5G premium being removed? And secondly, on wholesale access, again, I assume nothing has changed, but has there been any approaches or accessing your fixed network given that the new entrant only has more localized fixed exposure? And would you be open to entertain in wholesale national coverage?
Miguel Almeida: Yes. Thank you very much for your questions. So actually, in reality, we never charge any premium for 5G. We provided that option when we launched 5G. But since the commercial launch of 5G, it has been offered to customers. We changed recently, and you're right, there was a change was the fact that there was a commitment from the operators, from 1 operator and the others followed to never charge that premium. So we never had -- we never charge in the past what changes the commitment that we will not charge it in the future. That doesn't take away the huge potential we see in our significant advantage in terms of mobile network and mobile experience superiority. We have a much better customer experience. We mentioned this European award as the fastest network in Europe. And obviously, when you're fastest in Europe, your fastest in your country by definition. But we look at the way our development in terms of 5G rollout has been happening in recent months and our competitors' rollout, and we keep seeing this significant advantage, which in a way is also driving our very strong performance in terms of mobile. So yes, no specific premium charge for 5G. But still, the investment we made in 5G is clearly paying out as we speak, and we believe that will continue to be a significant driver going forward in terms of our ability our superior ability to attract customers. In terms of wholesale requests, I'm not sure that I would share with you if we had any, but in reality, we didn't have any approaches from new operators asking for wholesale, new or old operators asking for wholesale access to our fixed network.
Operator: And there are no further questions at this time. So I will hand the conference back to the speakers.
Maria João Moura Landau: Okay. Well, thank you very much for speaking on the call today. We're available as always to take your questions. So thank you very much and look forward to speaking to you in the near future.